Operator: Good morning, and thank you for standing by. Welcome to Stella-Jones Third Quarter of 2025 Earnings Call. [Operator Instructions] I would like to remind everyone that this conference call is being recorded on Wednesday, November 5, 2025. I will now turn it over to David Galison, Vice President, Investor Relations of Stella-Jones. Please go ahead.
David Galison: Thank you, Ina, and good morning, everyone. Earlier this morning, we issued a press release reporting our results for the third quarter of 2025. Along with our MD&A, it can be found in the Investor Relations section of our website at www.stella-jones.com as well as on SEDAR+. As a reminder, all figures expressed on today's call are in Canadian dollars unless otherwise stated. Please note that our comments made on today's call may contain forward-looking information, and this information, by its nature, is subject to risks and uncertainties. Actual results may differ materially from the views expressed today. For further information on these risks and uncertainties, please consult the company's relevant filings on SEDAR+. The documents are also available in the Investor Relations section of Stella-Jones website at www.stella-jones.com. Additionally, during this call, the company may refer to non-GAAP measures, which have no standardized meaning under GAAP and are not likely to be comparable to similar measures presented by other issuers. For more information, please refer to the company's latest MD&A available on Stella-Jones website and on SEDAR+. Lastly, we have prepared a corresponding presentation, which we encourage you to follow along with during this call. I'll now hand the call over to Éric Vachon, President and Chief Executive Officer of Stella-Jones, for a strategic business update, followed by Silvana Travaglini, Senior Vice President and Chief Financial Officer of Stella-Jones, who will provide a more detailed financial overview of the quarter. Éric, over to you.
Eric Vachon: Thank you, David. Good morning, everyone, and thank you for joining us today. First, as some of you who are joining us virtually may have noticed, Stella-Jones recently unveiled a new brand platform. This includes not only a refreshed look and feel, but also an updated brand positioning to make Stella-Jones the backbone of solid infrastructures for stronger communities across the continent. We are thrilled with this new brand platform, which aligns seamlessly with our focus on building a strong, agile business and on being a partner of choice to our infrastructure customers. Our results reported today reflect another successful quarter, supported by the continued strong execution across our businesses. Our Q3 results benefited from the organic sales growth of our pressure-treated wood businesses as well as the contribution of our steel structure division, formerly known as Locweld. Particularly noteworthy is the continued improvement in volume momentum for utility poles. We remain encouraged that this positive trend will continue and be sustained going forward. Although railway ties sales did not increase as anticipated, the company generated more EBITDA and maintained strong EBITDA margins and cash flows. This allowed us to reduce our leverage to 2.2x and further enhance our financial flexibility to support ongoing strategic initiatives. The integration of our steel structures product category into our business and operational investments into the production capacities are well underway, having committed the majority of the planned $15 million capital. We remain on track to complete the expansion by mid-2026, with production ramping up in the second half of the year. We remain well positioned as quoting is very active for long-term contracts to fill the expanded capacity for major North American transmission projects. Consistent with our focus on creating long-term shareholder value, we were pleased to announce the closing of the Brooks acquisition, which further expands our product offering as we leverage our extensive sales and distribution network to better support the needs of our utility customers. This acquisition provides us with a presence in the wood distribution crossarm and transmission framing component markets, aligning with our vision to make Stella-Jones a partner of choice to our infrastructure customers. We look forward to welcoming into our team the group at the Brooks facility as we continue to focus on enhancing growth through acquisitions as a cornerstone of our value-creation strategy. I'm pleased to share that we published our latest ESG report in September, highlighting meaningful progress in our sustainability journey across the organization. Notably, we obtained limited assurance of our Scope 1 and Scope 2 greenhouse gas emissions, an important milestone in our commitment to transparency and accountability. We also advanced on our GHG reduction road map, launching several impactful projects aimed at lowering emissions throughout our network, such as the integration of heat recovery events or real-time energy monitoring at select facilities. I want to thank our team for their dedication and hard work in driving these initiatives forward and helping us build a more sustainable future. I will now turn to a performance overview of our main product categories starting with utility poles. As you are aware, a large part of our business is contractual, and our strong network and focus on quality have helped us secure additional contracts, which we are now starting to benefit from. Our volume growth this quarter is coming from these new contracts while we continue to see softness in the spot market. Given the additional industry supply, the slower demand has continued to impact spot pricing, which have remained below levels realized in 2024. For the full year, our utility pole sales growth outlook is expected to be in the low-single-digit range versus 2024. The pipeline of opportunities for volume growth in the utility pole business remains strong and continues to be key for Stella-Jones. While the pace of investments will continue to be influenced by our customers' capital deployment strategies, we have positioned the business well to benefit from meaningful investments required by utilities to replace aging infrastructures and increasing grid resiliency. For railway ties, volumes in the third quarter continued to be impacted by a Class 1 customer treating their railway ties internally as well as a lower-than-expected increase in commercial volumes. While commercial orders have been helping close the gap in volumes, delays in certain project starts are pushing deliveries into next year. As a result, we now expect the larger volume shortfall to act as a headwind for the remainder of the year, and we are now forecasting a mid-single-digit year-over-year decline in railway ties. Despite the lower volumes, our teams have worked diligently to improve margins and profitability. Once we reset this year with the lower external purchase from our Class 1 customer, we continue to expect our railway tie business to achieve a low-single-digit sales growth. We remain confident that we can leverage our upcoming Class 1 contract renewals and our customer relationships to develop potential solutions addressing the evolving needs, allowing us to capture a larger share of the industry's volume. The residential lumber business performance was solid with similar quarterly volumes as last year and better pricing in response to higher cost of inventory. In the fourth quarter, we will be focused on building inventory and working to support customers as we see good momentum going into 2026. We continue to anticipate sales in this product category to trend in the $600 million to $650 million target range over the long term. As we enter the last quarter of 2025, we are maintaining our financial objective for the year and remain confident in the long-term sales growth trajectory of our infrastructure product categories. The disciplined execution of our strategy will serve us well as our team remains engaged and dedicated to delivering strong customer and shareholder value. With that, I will ask Silvana to provide a more detailed overview of our third quarter financial results.
Silvana Travaglini: Thank you, Éric, and good morning, everyone. Sales for the third quarter were up 2% organically compared to the prior year quarter, driven by higher infrastructure volumes, primarily for utility poles. Including the contribution from the Locweld acquisition, total sales were up 5%, or $43 million, compared to Q3 last year. Led by higher volumes, EBITDA increased to $171 million, and we continued to deliver a solid EBITDA margin of 17.8%. For utility poles, we generated $480 million in sales in the third quarter, up from $448 million in the same period in 2024. The pace of purchases of some utilities improved, and we benefited from new contracts secured last year. Volumes in the quarter were up 5%. Partially offsetting these volume gains was a 3% decline in pricing, largely driven by ongoing pricing pressures in the spot market. Our utility poles sales also benefited from a full quarter contribution and better-than-expected sales volume from our steel structure business, whose results are reported in the utility poles product category. Sales of railway ties were up $6 million this quarter to $211 million, all attributable to better pricing. Commercial volumes were higher this quarter, but not enough to offset lower Class 1 volumes, which continued to be negatively impacted by a Class 1 customer now treating railway ties at their company-owned facility. Despite relatively unchanged volume, pricing for ties improved by 2%, supporting margins in the quarter. Residential lumber sales increased to $201 million in Q3 2025 compared to $191 million in the third quarter last year. The increase reflects higher pricing supported by elevated inventory costs from purchases made earlier in the year. Demand levels were largely unchanged from the same period last year. Turning now to profitability. The business continued to generate strong EBITDA and EBITDA margin, reflecting the resilience and strength of our business. EBITDA in Q3 rose by $9 million to $171 million, largely explained by higher sales volume, partially offset by lower pricing, particularly for utility poles. EBITDA margin came in at 17.8% for the quarter and 18.5% year-to-date, excluding an insurance settlement gain. During the quarter, cash generated from operating activities was $198 million compared to $186 million in Q3 last year. Strength in cash generation benefited from a reduction in inventory as we continued to focus on optimizing inventory levels. We expect to end the year with lower inventories. Our prudent and balanced approach to capital allocation provides us with the financial flexibility to pursue strategic growth opportunities as well as return capital to shareholders. Over the last 12 months, we generated cash from operations of over $500 million, allowing us to invest approximately $90 million in our business, acquire Locweld, and return approximately $145 million to shareholders, with the remaining capital used to reduce our net funded debt. As of the end of September, we had returned $454 million to shareholders out of the $500 million committed for the 2023 to 2025 period through dividends and share buybacks. And yesterday, our Board of Directors approved a quarterly dividend of $0.31 per share. Our business is highly cash generative, and we continue to view share buybacks as a valuable capital allocation tool, which is why our Board of Directors had the confidence to authorize a new normal course issuer bid for share purchases for the upcoming year, which we announced in a dedicated press release earlier today. Stella-Jones is authorized to repurchase up to 1.5 million common shares for the period starting November 14, 2025, and ending November 13, 2026, representing approximately 2.7% of the common shares outstanding. We ended the year with $780 million in available liquidity and a net debt-to-EBITDA ratio of 2.2x, down from the 2.4x at the end of last quarter. In summary, we are pleased with our results for the quarter, which highlight the breadth of our network as well as the strength of our business and of our teams. Our healthy financial position and strong cash-generating ability allows us to continue moving our value-creation strategy forward with both organic and inorganic investments. Stella-Jones is well positioned for continued growth and success. I will now turn the call back to Éric for his concluding remarks.
Eric Vachon: Thank you, Silvana. To put our results in perspective, we had a very good quarter as stronger utility pole volumes helped offset lower-than-expected railway tie volumes and margins remain strong overall. We generated good free cash flow and lowered our leverage while continuing to invest in our business. As we move into the final quarter of the year, our guidance for the year remains intact, and we are encouraged by the progression we are seeing in our business. Additionally, we look forward to sharing our updated views on the opportunities ahead at our upcoming Investor Day on November 20 to be held in Toronto. Before I conclude, I would like to welcome our 2 new Board members, Renée Laflamme and Sean Donnelly, whose wealth of experience and perspective will strengthen our Board and support the company's long-term success. Renée brings over 25 years of experience in financial services and insurance with a strong track record of introducing change and innovation to create value, including digital transformation and artificial intelligence. Sean's tenure as President and CEO at ArcelorMittal Dofasco, his experience in metallurgical engineering as well as his experience on the Board of a utility company will provide valuable insights. This concludes today's prepared remarks. I will now open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Michael Tupholme from TD Cowen.
Michael Tupholme: Éric or Silvana, there were some minor changes in the language around 2025's outlook commentary for utility poles in the MD&A. You're saying, ex-Locweld, you're now calling for marginal year-over-year growth in utility poles for the full year. I don't think the language was quite framed like that last quarter. So I guess the question is, is there a change in your views around the full year expectation for growth in poles. That marginal year-over-year growth, is that consistent with last quarter? Or has there been a bit of a change there? Just not clear to me.
Eric Vachon: Thank you, Michael, for the question. So if I look back, last time we reported results, our H1 views were that we were behind in the first half of the year on volumes for utility poles and that we would have some positive momentum in that year to finish more or less flat. Now as we look at our results in the third quarter and looking at the pickup in momentum in volume demand, we think for the year we'd be slightly up. So obviously, a low-single digit in H2 that more than offsets the H1 lower volumes, if that's helpful for you.
Michael Tupholme: So it sounds like a little bit of an improvement. So would that then mean you're still on track and expecting to get back to that mid-single-digit utility poles' organic growth by year-end 2025 as you had previously expected?
Eric Vachon: Yes, sir. Exactly.
Michael Tupholme: And then maybe just one more here on poles. I think in the commentary, Silvana just talked about the pace of purchases of some utilities improve, but there's still -- you're still calling out in the MD&A macroeconomic challenges. You did see some continued pricing pressure in the spot market. So it sounds like there's different dynamics at play, some of which are a little more encouraging and, again, then still calling out some challenges. So notwithstanding your answer to the earlier questions about a slight uptick in your expectations for the year, can you try to frame up what you're seeing in the market now and how you think about some of the things that were holding utilities back previously and the spot market pricing pressure, when we can overcome some of that and start to see more of the positive side of what you're describing really come through here?
Eric Vachon: Thank you, Michael. So as a reminder for everyone, 75% of our total utility poles sales are under long-term contracts and the other 25% is in the spot market. And the dynamics that we're seeing currently in the market for pricing are in that 25% category, which is, again, the spot market business. There is still some spotty demand in certain areas in North America. There is healthy inventory levels. So we are seeing, as a whole, some pressure on pricing in the market. So that's when we compare 2024 to 2025. So far this year, if we compare the trend quarter-to-quarter in 2025, it has more or less stabilized. So happy to see that leveling off, if you want. And then we'll see how that overall market demand trends into next year. We are very fortunate that we're seeing this volume increase that I was talking about, and to your previous question, be within our long-term contract customers. So obviously, we have a very long list of great customers that are the North American utilities. And those who have the long-term contracts, as far as we can observe, have been deploying capital strategically for the infrastructure upgrade or grid upgrade, if you want. But I can't say that it's moving that fast across the entire industry. But I do believe that there is some positive momentum to come here for the whole industry coming into '26 and '27.
Michael Tupholme: And maybe just one last one. Just as it relates to the spot market pricing pressures. Based on the visibility you have, do you expect to see ongoing pricing pressure in that market for some period of time here? Is there any kind of light at the end of the tunnel as to when we could -- whether it's the comps getting easier or were some of the improvements in the industry maybe excess inventory getting soaked up, et cetera? Is there any visibility on that? Or should we be assuming continued spot market pricing pressure for some time?
Eric Vachon: Well, it's difficult to predict. I think what's encouraging, as I described, if I look at Q1, Q2, and Q3 of this year, we've seen that pressure subside and flatten. So hopefully, that is the lower level of where we stand today. And obviously, we're normalizing, I guess, versus 2024. We're now at, I would say, hopefully a healthy run rate and any uptick in demand would just help that dynamic going forward. I guess something else to keep in mind without going too much into the weeds is what are the type of products our customers are looking for. So I have mentioned in previous calls, as we look at the demand profile over time, our customers are demanding or ordering more and more larger sized poles, which are harder to procure, harder to find. And then again, there's where our customers can find what they need at Stella-Jones versus an operation that has one facility and one procurement team and that in a given geographical area doesn't have the access or the network we have as a company with the breadth of our network. So that is also, I guess, potentially something that would be good for us going forward because we do have access to large quantities of inventories with profiles of poles that are what our customers are looking for.
Operator: And your next question comes from the line of James McGarragle from RBC Capital Markets.
James McGarragle: I just had a question on the railway tie segment. You flagged some potential share gain in 2026. Can you just talk about what's driving that? And then just as a quick follow-up there. Can, you just talk about where you're at in terms of renewing some of these railway tie contracts and potentially passing on higher price?
Eric Vachon: Yes. So obviously, I guess one of the comment is, if I understand your question, with the pullback of -- given Class 1 that's now treating at their own treating facilities, it's a reset this year. So going forward, as we conclude 2025, I would expect 2026 to resume our low single-digit sales increases. We are looking at the contract renewals right now with a few Class 1 customers. So 2 things there. Obviously, each time we have an opportunity to renegotiate our long-term contracts, we're always shooting for the most volume we can get from them. And I think what we need to do is not -- it's the service that we do, it's the quality of the product, but it's also how we can help them solve certain of their needs, maybe logistically, maybe with new services. So we're definitely looking into opportunities from that perspective. And then with regards to price increases, I think we've been clear in previous calls that we are coming to the table and discussing with our customers to find mechanisms to adjust the pricing and ensure we preserve or improve margins over time. Obviously, as you can understand, customers never want to pay more for the product, so we need to come up with a value proposition. And our whole team is very much focused on that aspect and seeing how we can be that go-to supplier, I guess, for the rail infrastructure business.
James McGarragle: And then I think there was 4 contracts that were coming up for renewal. Is that still the case? Or have any of those been negotiated recently?
Eric Vachon: Yes. Still 4 that are outstanding. One might get just renewed for a 1-year period. Obviously, I don't want to start calling out names, but yes, we're still discussing with all 4 customers. Obviously,, some of them are later into next year. So some of them are well advanced and some of them are really preliminary as we're positioning ourselves. But I guess it will be an ongoing topic here through 2026.
James McGarragle: Okay. Appreciate the color there. And then just one more on the railway tie segment, then I can turn the line over. Just on CN's lowered CapEx, they meaningfully reduced their CapEx when they reported Q3 results. It seemed to be that the maintenance would be intact, which I assume is where the ties would fall in that, that would impact your business. But any risk there to your tie outlook into '26 on the back of that announcement from Canadian National? And I'll turn the line over after that.
Eric Vachon: Thank you, James. So with regards to the CN, we've obviously done all our work planning next year's program. Volumes are similar year-over-year. So we're not impacted by this, I guess, this CapEx reduction announcement. So we're definitely part of that maintenance piece of it. And our discussions with the CN just are reflecting flat volumes year-over-year.
Operator: And your next question comes from the line of Benoit Poirier from Desjardins.
Benoit Poirier: Just to come back on the railway ties questions. Obviously, any thoughts about the non-Class 1 customers these days? And what do you foresee from those segments?
Eric Vachon: I think we had a reasonably good year for the industry as far as the demand goes. We have certain contracts -- not contracts, POs or bids that we have in hand that we are seeing the delivery dates being pushed now into next year. I'd like to think that we're past the comments or review by the U.S. federal government on different programs. If you remember in H1, there were a lot of reviews on different subsidy programs and things of the like, created a bit of uncertainty as far as the funding for, I guess, the short lines in particular. I think that's behind us. So I'm actually feeling positive about what's coming in 2026 with regard to that, that having resumed. Yes, that would be my comment there.
Benoit Poirier: Looking at utility, Éric, American Electric Power and Quanta Services unveiled this morning a $72 billion partnership on a transmission expansion. I was just wondering, given you're obviously well connected, well positioned with the utilities, is it something that we might see down the road from you guys?
Eric Vachon: Meaning as far as benefiting from that announcement?
Benoit Poirier: Exactly. Is it something that will benefit Stella-Jones?
Eric Vachon: So I believe that last quarter, AEP in their public disclosures had put forward 70 - 7-0 -- $70 billion in CapEx in the next 5 years. So the announcement of Quanta actually puts more actionable or meaningful actions towards executing on that CapEx. I know in the past 8, 9 months, they have given a good look at their capital structure to be able to deploy and invest in their network. So we're very pleased with that. We're very well positioned with AEP. They're one of our key customers. And obviously, from a distribution pole, transmission pole business and now with [ latest ] or steel structure division, I think we have opportunities here to bid on upcoming projects that will be coming forward.
Benoit Poirier: Okay. And looking at your NCIB, Silvana, it has been renewed, but lower amount versus the previous 2 years. So just wondering, should we see that as a signal that the fact that you foresee more growth opportunities ahead? Any color with respect to the share buyback envelope?
Silvana Travaglini: Yes. So I guess 2 comments on that, Benoit. The first is even though we had bigger programs, as you probably saw over the last 2 years, we did repurchase probably more in the 1.2 million shares. So we do think it is almost -- being more consistent with the actual usage of the program over the last 2 years. And we are definitely very mindful of all the potential investment activity going forward. Definitely, that is part of the mix.
Benoit Poirier: Okay. And maybe last one, a quick one for me. In terms of working cap, Silvana, anything to call out going into Q4 and 2026?
Silvana Travaglini: Yes. So, into Q4, as we typically see, we would expect, particularly for residential lumber, a build in inventory in that last quarter of the year, but more than offset by the decrease that we would expect in ARR just because of the seasonally lower sales in the Q4 versus Q3. So I think we would expect either a neutral or a pickup in the last quarter of the year in terms of our working capital, so adding already to the inflow that we have year-to-date. And going into 2026, I guess the color that I could give around that is that depending on the expected increase in sales that you put forward, we always say that we probably -- 40% of that increase is needed in terms of build of working capital for that additional sales growth.
Operator: [Operator Instructions] And your next question comes from the line of Martin Pradier from Veritas Investment Research.
Martin Pradier: My first question is about building material. I thought that the prices were up during the quarter, but the wood price declined. And you mentioned that there is a delay between when this gets into the sales. What delay are we looking at? I mean, when are the lower prices of wood going to impact your sales down the road?
Eric Vachon: Thank you, Martin, for the question. So maybe as a reminder, when we start the year or as the industry calls it a season, we have a large buildup of inventory. And with our key customers, we set the price for -- in this case, for 2025. So we have not adjusted -- and you're completely right, the price of lumber has declined somewhat since January of this year. But we've also built a program for our customers. And when we negotiate a price, we need to hold it through. So we have not adjusted prices so far this year, slightly a bit here or there in the third quarter, but nothing that you could probably notice through our financial results. I do expect these prices to hold until the end of the year. We'll negotiate them again, revisit those prices when we start the new year here with our customers. We're actually currently -- through November and December of this year is when we set the programs for 2026. So we're discussing pricing now. So there might be a slight decline. We're trying to see where the market is trending right now. Obviously, there's a lot going on and to consider with duties and tariffs and curtailment of capacity. I do believe that a lot of sawmills in Canada are having a tough time financially because of the lower prices of lumber. And I do believe that their intention is to see that price go back up to make it worthwhile for them to operate. So if there would be an uptick here in lumber prices in the next 3 months, I think it wouldn't be that much of a decline in pricing next year. So hard to predict, but something that we monitor daily.
Martin Pradier: my second question was, I was quite impressed with railway ties sales in this quarter, which was positive. And you come from 2 years of -- 2 quarters of plus 10% negative. But my understanding is that the next quarter is going to be negative again because there were a lot of sales in Q4 last year, and you're saying that some of these programs are delayed and then going to go to 2026. Is that the right way of thinking about it?
Eric Vachon: Yes. I think you're thinking about it right. Q4 is typically a slower quarter. We see sometimes orders straggle Q4 of this year and Q1 of next year. But the way we're looking at it is, as you just expressed it, it will be slightly lower. So we will conclude the year in that down in the mid-single digits, if I think that's what you were expressing.
Operator: And your next question comes from the line of Michael Tupholme from TD Cowen.
Michael Tupholme: Éric, I just wanted to ask you if you could comment on the Brooks acquisition. Haven't talked about that much on this call. Just in terms of what you see that acquisition adding in terms of expanded product offering and whether you can roll that out more broadly across the network or if further acquisitions would be required in order to have that expanded product offering more broadly available? And then also just maybe just if you could comment on the M&A pipeline in general.
Eric Vachon: Certainly. So the Brooks acquisition brings a few things. One, obviously, as Locweld, a bit of a diversification of our product offering, although mainly treated wood, but in the crossarms space. So very happy now to have a larger catalog, to have more in-depth discussions with our utility customers. We have acquired also a team with skill set and knowledge about this industry. So crossarms are unique dimensions with very particular procurement dynamics because of those dynamics. So we've acquired a leader in this space with some good knowledge. So the next steps, to your question, is obviously, there are customers that Stella-Jones has that Brooks was -- I don't know if they, let's say, didn't have much exposure to, we can definitely make new introductions or reintroduce them. I do believe that there might be an opportunity for us to consider if there's a -- if we can bring this into the Canadian market as well because Brooks has no exposure to the Canadian market. I believe they would have enough capacity/we would also internally in Canada, in particular, to be able to consider expanding that offering to our customer base. So obviously now that we have full access to the team and the assets, we're putting -- first integrating the group; and secondly, thinking about that strategy going into 2026. With regards to the acquisition pipeline, Michael, so, I'll go back to start with the basics. There's still some targets in wood poles and railway ties that are of interest to Stella-Jones, and we keep monitoring those opportunities. Definitely interested in expanding or growing our steel structure division. So obviously, with Locweld or the Candiac, we'll be doubling the capacity, as I said, mid of next year. But I do think there's some other opportunities for us to keep growing that division. We've had a lot of positive feedback from our customer base interested in understanding how will Stella-Jones be able to support these massive projects that are upcoming here. So one of the previous questions, for example, on AEP, when you think about $70 billion, obviously, there are generating assets in there, but there's also a good part of the money going there for transmission lines, which would, in most part, be steel and not to forget the maintenance of the entire network to which we're exposed. So definitely some thoughts there. And as we keep exploring opportunities and as we make these acquisitions, we get introduced to new relationships and discover new opportunities of businesses that service the utilities or the rail space that have attractive margin profiles and would be a good fit, and they're actually looking for a partner to come and help them grow the business. But when I say partner, it's really selling the business to us because with our access to capital, as we did with Locweld for example, we were able to invest and increase the capacity and get to that critical mass where certain customers are now taking notice. So I guess that would be how I need to think about the pipeline going forward.
Operator: And your next question comes from the line of Hamir Patel from CIBC Capital Markets.
Hamir Patel: Éric, your poles business, looks like the wood prices were down close to maybe mid-single digits in the quarter. I know you mentioned the spot market is about 1/4 of your mix. So that kind of suggests that spot pricing was down maybe mid-teens year-over-year in Q3. Is that a fair interpretation? And just wondering how much of that is mix? And if you could comment on how much lower is the spot market versus your typical contract price.
Eric Vachon: So I think you're not quite there, Hamir, but I'll let Silvana cover that for us.
Silvana Travaglini: Yes. So Hamir, so in the quarter, we said that our pricing accounted for a 3% decline in sales, and we said most of that was the spot pricing. But there was also some mix in there for our contracts. So like year-to-date, our pricing/mix decrease is less than 1%. So we're still expecting for the year that the spot pricing will remain below 2024. And as Éric said, there's some normalization there because the spot pricing last year was almost in line with our contract pricing. So we do expect that decrease to continue into the second -- into the last quarter when we compare to the same quarter last year. And that the contract pricing, as we always mention, is really we would have just expected as we have seen so far, just contractual increases that we have about mostly inflationary like 2% to 3%. But we have -- and I believe Éric must have mentioned, but we have seen the average spot pricing pretty much be in line with what we saw in Q2 in Q3. So we have seen some stabilization, if you want, between Q2 and Q3.
Hamir Patel: And any sense yet as to how we should think about CapEx for 2026 and where you stand with potential greenfields on the steel side in the U.S.?
Silvana Travaglini: Yes. So maybe I'll answer the CapEx piece, and then I'll pass it over to Éric. So we continue to expect, based on the -- on our current asset base, probably the higher end of our range, probably in the $85 million to $90 million, and this does not include the expansion CapEx expected for Locweld, which part of it is being done this year, but it will spill over into next year. It will only be ready probably mid- to second-half of next year. So you have to keep that in mind to add to our regular CapEx spend.
Eric Vachon: And I'll follow -- I'll conclude on that topic, Hamir. So with regard to the expansion of our steel structure division, definitely focused right now on ensuring we properly execute on that expansion CapEx and roll it out. It's a big change because we're changing out the entire shop floor of the facility. I think we're well on our way. I had a few meetings in the last few weeks on the planning of that and how we're going to execute in the first 6 months of next year. But that being said, is there a potential for another greenfield facility in the U.S. or Canada or in North America, definitely looking into this and having discussions with customers. Obviously we do not want to build a facility that has no orders on the books. So we're seeking for commitments, but still working on the project, and we'll be discussing more at the Investor Day.
Hamir Patel: And just the last question I had, Éric, I know the RTA recently held their annual conference. What were the volume trend expectations that you're hearing out of the various Class 1s? I know you already commented that CN was tracking flat, but curious about the others.
Eric Vachon: Yes. Pretty, much flat for everyone, Hamir. There's no big intention of increasing maintenance programs as far as we've heard. We obviously have the UP and the NS that are a bit prudent as they're -- well, they can't talk to each other necessarily, but UP is expecting to close this transaction next year. So I think out of that, there could be some different views, but that would probably spill into '27 at that point in time. So I would say those -- so most Class 1s that were there or all of them were indicating similar volumes year-over-year.
Operator: Thank you. We have no further questions in the queue. Please proceed.
Eric Vachon: Well, thank you, Ina. Thank you, everyone, for joining us today, and we look forward to updating you when we release our fourth quarter results. Make it a good day.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for participating. You may now disconnect your lines.